Operator: Ladies and gentlemen, thank you for standing by, and welcome to the PCTEL Fourth Quarter 2014 Conference Call. At this time, all participants are in a listen-only mode. Later, we will open up the call for your questions. Instructions for queuing up will be provided at that time. As a reminder, this conference call is being recorded for replay purposes. I will now turn the call to John Schoen, Chief Financial Officer.
John Schoen: Thank you for joining us today for the PCTEL financial results conference call for the fourth quarter 2014. On today's call will be Marty Singer, Chairman and CEO; and I am John Schoen, Chief Financial Officer. Before we begin, I would like to read our safe harbor statement. Today’s call will contain forward-looking statements within the meaning of the federal securities laws. Comments concerning our future financial performance, new products and features, product development, acquisition efforts, and expectations regarding the future growth of our wireless business, are forward-looking statements within the meaning of the Safe Harbor. Actual results may differ materially from those projected as a result of risks and uncertainties, including the ability to successfully grow our wireless products business, implement new technologies, and obtain protection for the related Intellectual Property. Additional discussion of these and other factors affecting the company’s business and prospects is contained in our periodic SEC filings. These statements are made only as of today and we disclaim any obligation to update information to reflect subsequent events. I would now like to turn the conference call over to Marty Singer.
Marty Singer: Thank you, John, and good afternoon. I should mention that I am in Barcelona here with David Newmann, Bob Joslin, and John Thakkar. We are all attending the Mobile World Congress. John is in Bloomingdale. So we aren’t seeing each other face-to-face as we give this call. Let me recap some of the Non-GAAP highlights from the quarter. First, we achieved revenue of $29.4 million. Our gross margin was 40%. Operating margin from continuing operations was 12%. Net income was $3 million, or $0.16 per diluted share. Cash and investments were $60 million, an increase of $1.1 million from the previous quarter. During today’s call, we will also be discussing the acquisition of the assets of Nexgen Wireless, a company headquartered in Schaumburg, Illinois that focuses on network analytics and engineering services. For simplicity I will be referring to the transaction as the Nexgen acquisition during the remainder of the call. The Nexgen Wireless founder and CEO, John Thakkar, is with me today, and as I said, along with David Neumann, and Bob Joslin. We are all hosting the conference from the Mobile World Congress in Barcelona while John, is in Bloomingdale. At this point, I will turn the call back to John.
John Schoen: Thank you, Marty. Our investors will note that the company presents non-GAAP financial information in its earnings releases. The company believes that presentation of gross profit, operating profit, and net income, excluding expenses for restructuring, gain or loss on sale of assets or legal settlements, stock-based compensation, amortization and impairment of intangible assets and goodwill, and non-cash related income tax expense provide meaningful supplemental information to both management and investors. The non-GAAP financial analysis reflects the company’s core results and facilitates comparisons across reporting periods. For more information on our non-GAAP financial results and reconciliation to GAAP measures, please refer to our earnings release that has been filed under Form 8-K with the SEC. The release can also be found on our website at www.pctel.com under “Investor Relations”. My discussion of results will be based on our non-GAAP financial results. So let’s turn to revenue. Revenues were $29.4 million in the quarter and $107.2 million for the year. The quarterly revenue is up 13% from the same period last year and the annual revenue grew 3%. I will speak to the changes by reporting segment. RF Solutions revenues were $9.5 million in the quarter and $35.1 million for the year, representing a period-over-period growth of 10% in the quarter and 16% for the year. For the quarter and the year, network engineering services were up significantly compared to the same periods in 2013 due to the rapid growth of in-building wireless network expansion. Scanning receiver revenue was down slightly in the quarter and up slightly for the year. The company experienced weaker scanner revenue in North America which was offset by revenue growth in China. Connected Solutions revenues were $19.9 million in the quarter and $72.3 million for the year, representing period-over-period 2013 comparisons of a 15% increase in the quarter and a 3% decline for the year. The company experienced strong site solutions growth in the fourth quarter from its cellular kitting products. Now let’s turn to gross margin. Gross profit margin as a percent of sales was 40% in the quarter and 41% for the year, representing a 2% of sales decline in the quarter and just under a 0.5% improvement for the year. RF Solutions gross profit as a percent of sales was 59% in the quarter and 60% for the year, representing a period-over-period decline of 5% of sales in the quarter and 4% of sales for the year. The decrease in the quarter and the year are attributed to the increased contribution of our network engineering services revenue with its lower gross profit margin relative to scanners. Connected Solutions gross profit as a percent of sales was 31% in the quarter and 32% for the year, unchanged for the quarter and up one point for the year. The annual improvement is attributed to having a full-year impact of the margin improvement program we implemented in the second half of 2013 to eliminate unprofitable site solution business and customers and consolidating the site solutions factory into our Bloomingdale facility. Those improvements were able to more than offset the impact of lower antenna revenue with its relatively larger higher margin. Now let’s turn to non-GAAP operating expenses from continuing operations. Operating expenses were $8.2 million in the quarter and $33.3 million for the year, representing period-over-period 2013 comparison of a $100,000 decrease in the quarter, and up $200,000 for the year. For the year, R&D was up $700,000 due primarily to the investment in the scanning receiver flex product line. Sales and marketing for the year was up $800,000 largely from in investments in business development for our network engineering services. G&A was down $1.3 million for the year with $800,000 attributed to the completion of the Oracle ERP project in mid-2013 with remainder related to lower variable compensation in the 2014 Short-Term Incentive Plan than was earned in 2013. Non-GAAP operating margin as a percent of sales was 12% in the quarter and 10% in the year, an improvement as a percent of sales of two points in the quarter and one point for the year. The increased revenue and resulting higher gross profit in both the quarter and the year was leveraged over stable operating costs. Non-GAAP other income was $18,000 in the fourth quarter. As a reminder, as the amounts are largely interest on our investments, the number will continue to be small in the current interest rate environment. The non-GAAP income tax rate in the quarter and the year was 18%, unchanged from 2013. Non-GAAP earnings per share from continuing operations were $0.16 in the quarter and $0.48 for the year, resulting in period-over-period increases of $0.04 in the quarter and $0.06 for the year. Now let’s turn to the balance sheet. Cash and investments ended the fourth quarter at approximately $60 million, about $1.1 million higher than the previous quarter. In the quarter, the company generated approximately $2.6 million of cash flow from operations, spent approximately $700,000 on capital expenditures, yielding free cash flow that is cash flow from operations less capital spending, as a percent of revenue of 6% in the quarter. Depreciation in the quarter was $752,000. For the year, the company generated free cash flow of approximately $5.4 million, or 5% of revenue. Of that free cash flow, the company returned $3 million to shareholders in the form of regular dividends and $1.7 million in stock buybacks, or about 85% of the free cash flow generated. Now let’s turn to the first quarter 2015. Now we anticipate first quarter revenue to be in a range of $28 million to $29 million. Gross profit margin is expected to be about 39%. Our operating costs are expected to be approximately $9.6 million, which includes about $600,000 of transaction and due diligence costs for the Nexgen acquisition. The non-GAAP effective income tax rate is expected to remain unchanged going forward at 18%. The fully diluted share count in the first quarter is expected to be about 18.7 million shares. Full-year guidance for 2015 is revenue between $133 million and $138 million, gross margin in the range of 40% to 41% of revenue, and operating costs between $40 million and $41 million, inclusive of the Nexgen transaction costs, a non-GAAP income tax rate of 18%, and a share count of approximately 18.7 million shares. That concludes the financial review. I would like to turn the call over to Marty for his summary comments.
Marty Singer: Thanks, John. This is one of our more exciting earnings release calls. In addition to delivering positive news about our momentum at the end of the year, we are eager to explain more about the acquisition of Nexgen Wireless. It makes sense, we think to begin with that topic and then to review the highlights of the past quarter and what we anticipate for the current quarter and the year. We’ve already mentioned that we are hosting this call from Barcelona, and you may at the end of this call want to ask some questions about what we’re seeing this year. As many of you know, PCTEL has discussed three areas for potential expansion through acquisition: achieving scale in our antenna business, investing in analytic tools to complement our scanning receiver businesses, and building upon our momentum in engineering services. The acquisition of Nexgen is consistent with two of those three target growth areas. Nexgen has established a significant U.S. based engineering services operation and developed a powerful tool for acquiring network data that guides carriers and infrastructure providers in identifying performance trends. This information has enabled Nexgen to recommend customer-impactful changes to the network. Their tool, the Meridian product line has three modules: Map IQ, Network IQ, and Subscriber IQ that will prepare PCTEL into crowd-based, cloud-based network analytics. Nexgen’s engineering services business is closely associated with Meridian and they have developed a Software as a Service business model. Utilizing Meridian, their engineers collect data for carriers and infrastructure providers and some neutral host companies, they perform drive tests, and they serve as subject matter experts for a variety of clients. We will only realize 10 months of revenue in 2015 and we anticipate incremental investment in the Meridian platform business development and improved employee benefits for the Nexgen employees who become the company’s employees. The entire Nexgen operation will report into our existing RFS business segment and we are forecasting $57 million to $60 million in 2015 revenue for that segment. Coupled with $76 million to $78 million for Connected Solutions, we should generate $133 million to $138 million in 2015 revenue. This is consistent with the guidance that John provided earlier. We continue to believe that five trends will drive our growth in 2015 and beyond. The growth of in-building networks which favorably impacts all of our businesses, small cell deployment in the U.S. which creates demand for engineering services and specialized antennas, the rollout of LTE in China, continued growth of key vertical markets for our scanning receiver products, and the success of our recently released Flex products in RFS. We now can add a sixth growth factor our ability to participate in the demand for data analytics, big data, and the sophisticated tools and cloud-based reporting for carriers. Now, to quickly review fourth quarter highlights and I will be brief in my discussion. We had five major highlights with respect to the market. Our core antenna business surged. The growth was driven by strength in our two primary product lines, GNSS and Broadband Wireless antennas. More to the point, major OEMs such as Cisco, Aruba, Extreme, Nokia, Alcatel Lucent, Motorola, and others exhibited high demand for our products as Wi-Fi and LTE satisfied an ever-growing data appetite. Second, we had the fastest take-up ever of a new product, the IBflex. We sold more of these units in the fourth quarter than in the previous three quarters combined. Flex products, the IB and EX series, now account for most of our scanning receiver sales. More importantly, it is clear that our focus on a flexible product that can be adapted to both indoor and outdoor use was well-founded. We announced on Friday the latest member of our Flex line, the powerful MXflex. This product sets a new standard for the number of broadband technologies measured in parallel, speed of processing, range of frequencies, and feature richness. Third, China. Over the last three years we’ve tripled our APAC revenue. We are the only company whose scanning receiver is being deployed by all three major carriers and we have put together a coalition of over 19 OEM resellers in China. In addition to our scanning receiver sales, we realized incremental antenna sales inside China. Fourth, engineering services. NES completed 1,000 projects in 2014. We believe that this will be 60% of our RFS business this year and when we pull out the software only sales from Nexgen, we anticipate that, in aggregate, we will be delivering over half of our RFS revenue from software and services. Fifth, Site Solutions. We delivered over $5 million of small cell, macro cell, and mobile tower based solutions. This run-rate is consistent with our forecast for 2014, although we are concerned about the impact that oil prices might have on the demand for communication gear in Northwestern Canada’s oil fields. In addition to these positive results in the fourth quarter, we had a few notable product introductions, including the new VenU product line for dense coverage areas such as arenas, terminals, campuses, and so on. We announced our 5-year warranty and also introduced several PIM-rated antennas, a low profile, multiband antenna for precision agriculture and fleet management, and several custom antennas for LTE and Wi-Fi OEM infrastructure providers. Also noteworthy were the initial shipments of antenna farms into the rail industry. These farms are located on locomotives and consist of multiband GNSS, LTE, and Wi-Fi antennas used for positive train control, on-train command and control communication, and passenger communication. Finally, we received significant orders for our GNSS WAAS antennas that’s Wide Area Augmentation System antennas, used for commercial aviation. One order will focus on the upgrade on the U.S. network and a second order will bring our WAAS technology to Japan. A few of these sales occurred in the fourth quarter but most will ship during 2015 through large, systems integrators. John Thakkar, David Neumann, Bob Joslin, and I will be walking the Mobile World Congress Exhibit on Tuesday and Wednesday and we look forward to meeting with investors, customers, any of you who happen to be there, OEM resellers, and potential customers. We have set aside 30 minute at this point for your questions. Operator?
Operator: [Operator Instructions]. Your first question comes from the line of Matt Robison of Wunderlich. Your line is open.
Matt Robison: Hey, thanks and good to hear the antennas are coming back. First, let me talk a little bit, ask a little bit about the fourth quarter, John, could you comment a little bit on the DSO stretch, what the driver from that was, and the backdrop for the sales and marketing, big sales and marketing expense increase then I’ve got some questions on the outlook and the acquisition?
John Schoen: Yes, so the back -- the backdrop for Q4 on the DSO is, we had a huge surge in the fourth quarter of small cell kits and that is to Verizon who has a net 60-day terms all that stuff went up in late November and early December, and we’re actually going to see a nice cash flow bump, we normally are out cash in the first quarter, and I expect to be positive cash in the first quarter. On the sales and marketing side, we had -- we have made investments this year in sales and marketing personnel and we did have a catch-up entry there with the resurgence of commissions that happened in that line. And then another comment, we did have a negative surprise of $0.01 a share in G&A. We had an unexpected VAT tax, value added tax settlement that we were pressed with in China and we settled. We didn’t know about that at the time of our last earnings call and that cost us $0.01 a share. But that was basically the biggies that happened this quarter.
Matt Robison: Thanks. On the Nexgen, they can kind of get a little bit of the revenue color from all the numbers you provided, but may be a little bit more specifics on that, and how many employees, what kind of gross margins we should expect and what the incremental OpEx will be?
Marty Singer: John, I will answer on employees, and then you can get into the numbers, but basically we’re talking about roughly 160 employees and contractors coming over.
Matt Robison: How does that relate to your overall headcount exiting the year?
Marty Singer: Well, today we have 459 employees. So now PCTEL will be roughly 620 employees and we do not anticipate taking out any resources from Nexgen, actually it’s the opposite, we’re looking at making investments, business development, also says us that a great deal of the headcount is in engineering services, and also one area that we would refer to as subject matter experts or staff augmentation. If you look at those areas, we really have non-overlapping areas of engineering service activity. So for example, Bob Joslin, who is here today and completed 1,000 projects, all 1,000 of those projects were in-building that means some of I suppose you could say are campus-based but basically they’re in-building. 90% of Nexgen Wireless products are macro cellular products, projects. And so these are non-overlapping resource and focused areas. John, do you want to talk about how the revenue breaks up.
John Schoen: I can say broadly this on the revenue, 40% of the revenue comes from what I would call drive test benchmarking optimization services, approximately $12 million comes from a combination of outright software sales or licensing and Software as a Service, and then the remaining amount comes from staff augmentation.
Matt Robison: What do you mean by staff augmentation, you mean just engineering services in the sense of contract labor type stuff?
John Schoen: I'm sorry; could you ask your question again, Matt?
Matt Robison: When you say staff augmentation, do you mean --?
John Schoen: Staff augmentation means let's a carrier needs expertise and voice-over-LTE. And as it is the case more frequently the carrier has many market managers, but not a lot of highly skilled engineers in those niche areas. And the $12 million that I mentioned in software and Software as a Service breaks down in this way. There is some amount that simply reflects licensing and sales and the other amount, the other activity is Software as a Service where Nexgen Wireless will sit there, and they'll collect data from switches, data from devices, data from nodes in the network, and other sources. They can in fact take any data from drive test systems. And then they generate actionable reports for the carriers based on the collection of data and the analysis of those data.
Matt Robison: Just the staff augmentation is about $2 million?
John Schoen: I don’t want to drill down into really the specific in each area, but it's the smallest area of the business.
Matt Robison: Okay. And who do you believe is the competition for Nexgen?
Marty Singer: Well any -- well first of all there is always competition from inside infrastructure vendors and from carriers. They can design their own tools and they might have their own resources. But the competition for Nexgen comes from some of the usual suspects, LCC and whatever, it has morphed into smaller companies of that type, I mean you have companies in cell site deployments such as Goodman Networks, and they will have engineering services, associated with their projects. And then you have different players with different types of analytic tools. What’s unusual about Nexgen is they provide multiple tools and multiple analytic capabilities in one portfolio. The area of analytics for cellular network performance and sharing is pretty fragmented. Do you want to comment Bob or David or John on the competition for Nexgen Wireless?
David Neumann: Well, this is David. The one comment is even though we have less competition, a lot of instances skill sets are different. We actually will subcontract some of those companies in the areas where they’re not strong.
Matt Robison: Okay. John, you can talk about the gross margin and then OpEx?
John Schoen: Yes, so there's about, call it $18 million, $19 million this year that will fall on our side of the ledger in the 10 month. The blended margin is in the upper 30s, call it $37 million, through a placeholder, and on our side of the ledger they will be about $4 million in OpEx. But I hadn’t really drilled all the way through what lines it goes on but for now placeholder, reasonable placeholder, call it $2 million on R&D, $1 million in sales and marketing, and $1.5 million in G&A, and I'm eventually going to have to sort that out just little too soon.
Matt Robison: Fair enough. So with that kind of blended margin, I guess that’s thought speaks to the -- what Marty was saying about the 40% per drive test and staff augment and also staff augmentation would seems like that headcount would probably go at significant degree into COGS and then the $12 million in software sales I presume and SaaS I presume is pretty high margin?
John Schoen: Yes, and once again that’s a combination of pure software revenues, like subscription, and then you've got engineering services which have -- that use the meridian tool as the basis is to do their value added analysis, so that's why you end up with a higher margin profile like that.
Matt Robison: What kind of growth rate should we expect for Nexgen? And can we think of the software and SaaS business growing faster than the labor oriented part?
Marty Singer: We’re looking at about 15% for software driven engineering services and then 4% are in building emerging services 15% to 20%. Now we’ve had year-over year gigantic growth, but it’s kind of return to earth. The one wildcard is to the extent which some of our in-building services gets direct into the explosion of the small cell.
Matt Robison: You always make sense. Well --
Marty Singer: Forecast. The other thing it’s difficult to forecast, voice-over-LTE is taking really a special type of analysis. Unlike data where you can be insensitive to temporal qualities, because the packets can be mixed and matched and re-ordered voice can’t be done that way. And so there's going to be a lot more effort, engineering effort, into voice-over-LTE and have to make sure that everything is done perfectly in those environments. So that could add an additional growth factor to our engineering services. David?
David Neumann: Now with their macro orientation wouldn't that also be a big push for optimizing coverage, because for the same reason so that’s a continuity is there to support we'll wait and see.
John Thakkar: Yes, John. This is John Thakkar from Nexgen. You’re right Matt, as the capacity grows, the capacity need grows for macro network, the introduction of data services and voice-over-LTE will cause operators to continually optimize their networks and that will increase demand for our services.
Matt Robison: Great, Marty. Great see to you guys getting some software content, I’ll let somebody else to ask some questions.
John Schoen: Yes. And so before you go though, I do want to mention one specific area and may be one of the three of you guys here can expand on this, which is neighbor list optimization and how that's become a really important area with the introduction of small cells and desectorization, and data identification, why don’t talk about that and what your tool was in that area, John?
John Thakkar: So one of the things we do ready well is bring in various types of actual data and analyze that and provide actionable intelligence for the engineering and operations departments for wireless carriers. One of the things we bring in is our neighbor list data and we also bring in something called hangout matrix data, which has every hangout that's never made in the system and the matrix related to it. So this is a lot of data that we correlate with neighbor list and recommend neighbor list relationship changes and priorities. In addition, we also bring in configuration management data and provide an analysis of millions of configuration available and the – well the delta may be to our client network. So just with those two components you can make a significant doubt in networks optimization quality.
John Schoen: Thanks, John. Operator is there another person in queue to ask a question?
Operator: Yes, there is. [Operator Instructions]. Your next question comes from the line of Mike Crawford of B. Riley. Your line is open.
Mike Crawford: There was a lot of questions, so I'll just keep it short. With Nexgen, how fast was that company growing independently and how fast do you think it can grow as part of PCTEL?
Marty Singer: Well, as I say, we're planning on extended 15% growth rate. They have grown over the last three years at a pretty steady state. This -- the last three or four years have been strong years of growth for them. And they’ve had years of growth, which have been closer to 20%, even 22%. And what's impressive about Nexgen Wireless is that, during their growth period they've been able to maintain very favorable gross margins and that’s because value that they're able to derive from -- in their engineering services from this analytical work that they do with their Brilliant platform. They are also providing a service to their carriers and that they’re not only doing the data analytics, but they've come up with some very efficient ways to filter and store the data as a service to the customer.
David Neumann: And I’d like to add to that, Marty, this is David. As you know, we have our international sales team in Europe and Asia. The groups that we sell scanning receivers to would be the same person to use these value added services in Meridian. So one area of growth has been to have some leverage of international sales team to provide more product and services to their customers.
Mike Crawford: Right. So that kind of bought me to the next question is how much in scan receiver have you had to Nexgen Wireless over the past few years?
John Schoen: Really not very much.
Marty Singer: I think that -- John could you just to customers.
Mike Crawford: Right.
John Schoen: The way Nexgen Wireless uses the equipment that belongs to their customers.
Mike Crawford: Which is [indiscernible]?
John Schoen: Right. So they are very familiar, your engineers use our equipment but they aren’t buyers of our equipment. So for example, if they do work for Samsung or Sprint, well they are -- they have been active there and ask on customers. And so both of those companies utilize our scanning receiver and so the Nexgen Wireless engineers are thoroughly familiar with our equipment. I’ll say this that your question is an important one in that one of our areas of focus over the next two years is going to be the integration of data from those customer systems, Ascom, active there, JDSU, and many others where we integrate their data directly into the Meridian platform so along with the switching data, along with user element data, you’ll have sophisticated data from these let’s call them retail network test equipment constellations. So we’re really looking forward to that aspect of the growth.
Mike Crawford: Okay. Thank you. And then just the last question is what did you base acquisition multiple and how did you value the company and what ROI do you expect?
John Schoen: Yes, yes, yes. We basically looked at revenues in multiple and revenues EBITDA. We had an outside fairness opinion done at that and we concluded that we were really in a great place on EBITDA multiples. We paid close to 1X revenue for a company with a strong software component, recent transaction such as nice acquisition of XSEED. We had approximately three times revenue. I hesitate to say all these things in front of John Thakkar here. But I’ll also say, just Mike, as you know there’s been some frustration with the speed with which we’ve deployed our cash in acquisitions. This was the fourth company this year that we did a really deep dive on in a service related area by far the best and compared to the potential valuations in those areas that was quite consistent. We saw a lot of consistency across all our targets, and over the last 18 months, we have looked in depth at 15 companies. So we think we did a pretty good job. Here we had a lot of outside help on the due diligence and then getting audited financials. And as I say, we also had a fairness opinion. We believe that our EBITDA multiple will improve from purchase to 2016 revenue and EBITDA.
Operator: Your next question comes from the line of Tim Hasara of Kennedy Capital. Your line is open.
Tim Hasara: Yes, what do you anticipate spending in R&D for both PCTEL and Nexus?
Marty Singer: Nexus?
John Schoen: Or do you mean Nexgen?
Martin Singer: Nexgen Wireless?
Tim Hasara: Yes, I'm sorry Nexgen, yes.
Martin Singer: Well, Nexgen Wireless has been running along at about 35 engineers in development, 35 to 40 is that right, John? So we would look at that as somewhere in the neighborhood of $4 million may be a little bit more. Historically we have paid I think this last year about $7.3 million in RFS. And recent -- I think we paid about $5 million in antennas, I'm not looking off my numbers right now, but basically with the addition of connected solutions our percent of revenue in development in connected solution dropped from near 8% to around 5% we've been hanging in at about 22% to 23% in RF Solutions. I think that you can anticipate long-term that R&D as a percentage of total revenue will be in a similar range 20% to 25%.
Tim Hasara: And so but for Nexgen how much additional R&D will you spend? You made a comment in your remarks that you're about to spend more?
Martin Singer: May be about $4 million in R&D.
Tim Hasara: Total for the year? And then --
Martin Singer: Hold, hold, hold, that we will probably add about $500,000 to that. I'm sorry -- I thought you mentioned in addition to current PCTEL, we will increase by 10% to 15% what they're spending right now.
Tim Hasara: Okay. So current PCTEL you've been around 10% or 11% of revenue is that correct?
Marty Singer: Yes, 11.5%, John.
John Schoen: Yes, 11.5% exactly.
Tim Hasara: Okay. And are you -- what is the EBITDA multiple that you paid for Nexgen; you're referring to it but not telling us what it is?
Marty Singer: All right, John.
John Schoen: You know what, I would have to look that up on a slide deck, hold on a second it might take me a minute if you have another question. That’s fine.
Tim Hasara: I guess, yes one other question, where, you announced a buyback what did you do with the buyback in December quarter?
Marty Singer: It hasn’t reached our target for buying back stock; we did not buy back stock in that quarter.
John Schoen: I would go in the 20% -- in the 5% range, 5.5% range.
Tim Hasara: Okay great. And any anticipated change in the dividend policy given what --?
Marty Singer: Well we just changed it.
Tim Hasara: Okay I know but you just -- that was part of the acquisition and I – so –
Marty Singer: No, it was not part of the -- the dividend was not part of that.
Tim Hasara: Well, no. My point is that you just did an acquisition today, is there any change due to the acquisition you announced the day of the dividend policy?
John Schoen: No, no. We generated -- and it’s done from the script. We generate about 10% to 10.5% in operating cash flow and we spend about 2.5% of it on CapEx. So we're in a call it 7.5% to 8% range that’s plenty of money to do a dividend and fund the buybacks. So we're doing it all out of free cash flow.
Tim Hasara: Yes, and if you're not even near buyback apparently if you haven’t bought any stock back so that won't factor in it?
John Schoen: Yes, like that. We better target price out there that when -- if it flows in there it's out there on 10b5-1 plan and it will kick in, but we've got plenty of free cash flow to cover that.
Operator: There are no further questions at this time. I return the call to Marty Singer for closing remarks.
Marty Singer: Well there are no further questions; I want to thank all of you for attending this quarter's conference call and our announcement regarding Nexgen Wireless. We look forward to meeting with you in the future at various Investor Conferences and industry shows certainly this weekend Mobile World Congress, if you happen to be there, we look forward to updating you at our next quarterly earnings conference call. Thank you.
Operator: This concludes today's conference call. You may now disconnect.